Operator: Good day, and welcome to the Yatra First Quarter 2021 Earnings Conference Call. Today's conference is being recorded. As a reminder, we will not be taking any questions from the press today. At this time, I would like to turn the conference over to Mr. Manish Hemrajani, please go ahead sir.
Manish Hemrajani: Thank you, Holly. Good morning, everyone. Welcome to Yatra's fiscal first quarter 2021 financial results for the period ended June 30, 2020. I am pleased to be joined on the call today by Yatra's CEO and Co-Founder, Dhruv Shringi. The following discussion, including responses to your questions, reflects management's views as of today, September 9, 2020. We do not undertake any obligation to update or revise the information. Before we begin our formal remarks, allow me to remind you that certain statements made during the course of the discussion may constitute forward-looking statements which are based on management's current expectations and beliefs and are subject to a number of risks and uncertainties that could cause actual results to materially differ, including factors that maybe beyond the company's control. These include expectations and assumptions related to the impact of the COVID-19 pandemic, for a description of these risks please refer to our filings with the SEC and our press release. Copies of this and other filings are available from the SEC and on the Investor Relations section of our Web site. With that, let me turn the call over to Dhruv. Dhruv?
Dhruv Shringi: Thank you, Manish. Good morning everyone and thank you for joining us. I hope you and your families are all safe and in good health. This is the first earnings call that we are doing in a little over a year in that we were involved with the Ebix merger. In the meantime, the global COVID-19 pandemic situation requiring the cessation of all non-essential air travel in India, while the situation is not what we had expected, it is the situation that we face. During this time of extraordinary changes and challenges, I'm proud of the way our teams have responded to these and that included against factors which are not directly within our control. This is also not the first time that we are facing a challenging situation of the company. From the financial crisis back in 2008, to the bankruptcy of Kingfisher Airlines and the subsequent collapse of domestic aviation in India in 2012, we've been through difficult periods before and each time we've come out stronger. And I feel confident that the same will be the case this time as well. We are starting to see a gradual recovery in travel after the reopening of domestic aviation towards the end of May post India's nationwide lockdown in the month of March, April, earlier this year. We believe the worst is behind us now. We've made all these essential changes to the operations to cut costs to the bare minimum, and after capital rise in June earlier this year, we believe we have the balance sheet to see us back to profitability. We now look forward to resuming the same growth and profitability trajectory we were on before all this unfolded. We are excited about a multi-pronged approach to increase shareholder value. As you will recall, we are one of the leading OTAs in India and the largest corporate travel management business in the country as well. First, with regards to the return of travel in India after the lockdown, on the consumer side, we started to see some early signs of recovery in travel in India since late May, when air travel was allowed to start back. Domestic flyers have now returned to about 25% of people with levels and that number continues to grow and we expect this to reach 40% plus by the end of the calendar year. On the international air front, airlines are beginning to operate under the bubble agreement between countries. So far, we've seen approximately 10% capacity come back online. And this number continues to increase, literally on a weekly basis as new and new bubble agreements are entered into. Domestic hotels were earlier taking bookings on a very limited basis. But since September 1, a number of states have allowed hotels to start operations without any quarantined restrictions. We expect to see gradual recovery here as well in the next quarter as people begin to undertake short haul and drive-in holidays. On the corporate travel front, we are the leading corporate travel service provider in India, our easily scalable, fast technology platform enables us to serve customers of any size and industry. Currently, the online penetration in the corporate travel market in India we believe is just about 10%, a large percent of the market almost 60% is served by smaller offline players. As a result of the pandemic, we believe and they are already beginning to actually see signs of this, that there will be an accelerated shift towards online players, especially as the big contracts come up for renewal at the end of their life and go through the bidding process. We remain confident in our platforms credibility to serve any scale and types of customers. Our other strategic growth driver is the expansion of our corporate digital platform as we essentially need to add non-travel related digital offerings to this corporate customer bases. As the largest corporate travel service provider in the country, we have strong relationships with all of our corporate customers, which constitute very large and well-known enterprises in India. We continue to make inroads into these organizations with our non-travel options of expense management, EdTech and others. Our EdTech offering we have been in partnership with upGrad and has been well received by corporates even those it's early days yet. In a tough economic climate, we're seeing corporates realize the importance of developing and rescaling the workforce to work on pressing challenges. Our platform allows our clients to offer these opportunities to their employees, especially as it remained underutilized during the pandemic. Corporates also view EdTech as an employee retention tool. On our hotel networks front, we recently announced a partnership with Amazon India to provide our hospitality partners with a wide range of products catering to their various needs that's the reason hospitality partners can leverage the Amazon business marketplace as a one-stop destination to access a wide range of products across categories to cater to their needs and to sell products in a safe and efficient manner. Now a quick update on the litigation against Ebix as well. So while I'm not at liberty to give any details of the litigation, I would just like to point out here that a large part of our legal costs of this litigation is linked to the outcome of the case. And it's not a direct cash outflow for us at the moment. Additionally, neither are we dependent, nor have we based our operations planning on a favorable outcome from the litigation. Coming to our fiscal first quarter results, this quarter reflected the bulk of the impact of the nationwide COVID lockdown in India as travel was largely shut in the month of April and May and only gradually began to open up in June. In the June quarter, our adjusted revenue decreased by 86% to INR 236.2 million or USD 3.1 million. Our adjusted EBITDA loss increased to INR 309.4 million, which is approximately $4.1 million in the three months ended 30 June from adjusted EBITDA loss of 205.8 million, or about $2.7 million in the three months ended June last year. There was also an adverse impact of INR 168.4 million or USD 2.2 million on our operating performance in the current quarter due to legal and professional fees related to the merger transaction with Ebix. So these are one-time in nature and will be non-recurring. Excluding this, our adjusted EBITDA loss would have been INR 141 million or USD 1.9 million for the quarter versus an adjusted loss of INR 205.8 million or USD 2.7 million for the same quarter last year. So despite COVID, we've been able to on an ongoing basis drive improvement through cost control in our EBITDA loss. Talking a bit more on the cost side, during the quarter we focused our efforts on restructuring our costs and significantly brought down our fixed costs run rate from approximately 2.7 million a month in the month of March 2020 to approximately 1.2 million a month for the month of May 2020, through a combination of companywide salary cuts ranging from 25% to 75% and renegotiation of contracts with our various service providers. We believe our current liquidity position and optimized cost structure provides us with enough capital to withstand a prolonged slowdown if it were to transpiring the travel industry. As of June 30, 2020, the balance of cash and cash equivalents and term deposits on our balance sheet was INR 3.675 billion, or approximately USD 48.7 million. Since then, however, we have settled our [Ebix] [ph] litigation and [indiscernible] same as part of that a final payment was made for the earn out of the acquisition of approximately 11 million. And our current cash balances as of 31 August 2020, is approximately $34 million. Given our reduced burn rate, we believe we have adequate liquidity on our balance sheet to return to profitability. With our optimized cost structure and newly launched high margin initiatives, we believe we can now again breakeven at approximately 50% of our case over December 2019, quarter run rate of 22.2 million. We're excited about our partnership with Zaggle on the expense management solutions; we view expense management as an integral part of our digital offering, as we continue to diversify beyond our core portfolio of travel to become an end-to-end business solution platform for our clients. Joining hands with Zaggle helps us guide efficiency for our clients by automating the expense management process. Our technology platforms complement each other and we look forward to going with Zaggle to drive lasting business impact for our clients. A third-party report by MRFR put the Indian expense management software market as the fastest growing market globally at USD 593.3 million by the end of 2025, growing at a CAGR 14.1%. Lastly, I would like to remind everyone that India's travel market and topic travel market in particular, was the fastest growing travel market globally pre-pandemic growing at 12% CAGR and expected to reach 32 billion by 2020. A large part of the corporate travel market was offline pre-pandemic and we expect the shift from offline to online to accelerate as a result of the pandemic, benefiting online players like the Yatra in the longer term. This concludes our prepared remarks. Let me now open the call for Q&A. Manish over to you.
Manish Hemrajani: Thanks, Dhruv. Holly, can you please open up the call for Q&A?
Operator: Q - Unidentified Analyst A - Unidentified Company Speaker
Operator: It appears there are currently no telephone questions. So I'd like to hand the call back to our host for any additional or closing remarks.
Manish Hemrajani: Thanks, Holly. Thank you, everyone for joining us today. We look forward to speak to you in the near future. Dhruv any closing remarks?
Dhruv Shringi: Just like to thank everyone again for taking out the time. I know it's been a while since we've last been heard. And now going forward, we will end up probably interacting on a quarterly basis. And if there are any follow-up questions that any of you have, please feel free to reach out to Manish. Thank you so much and stay safe.
Operator: Ladies and gentlemen, this concludes today's call. Thank you for your participation. You may now disconnect.